Operator: Welcome to Alico's Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, today's conference is being recorded. Earlier today, the company issued a press release announcing its results for the third quarter ended June 30, 2022. If you have not had a chance to view the release, it is available on the Investor Relations portion of the company's website at alicoinc.com. This call is being webcast and a replay will be available on Alico's website as well. Before we begin, we would like to remind everyone that the prepared remarks today contain forward-looking statements. Such statements are subject to risks, and uncertainties and other factors that may cause actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences includes risk details in the company's quarterly reports on Form 10-Q, annual report on Form 10-K, current reports on Form 8-K and any amendments there too filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today's call, except as required by law. During this call, the company will also discuss non-GAAP financial measures, including EBITDA and adjusted EBITDA. For more details on these measures, please refer to the company's press release issued earlier today. With that, I would now like to turn the call over to the company's President and CEO, Mr. John Kiernan.
John Kiernan: Thank you, Anna and thank you everyone for joining us for Alico's third quarter 2022 earnings call this afternoon. During this past harvest season, which is now complete, we along with the entire Florida citrus industry experienced several significant challenges, which resulted in disappointing financial results. We experienced a greater rate of fruit drop than in previous years. In late January 2022, we were hit with a freeze event, which was at an intensity which we believe had not occurred in Florida for almost 20 years. That freeze event contributed to lower production for our Valencia crop. The freeze also contributed to fruit failing to mature to its fullest levels, as normally occurs throughout the season, resulting in lower than anticipated pound solids. Because of these challenges, we have revised our fiscal year 2022 financial guidance to reflect the disappointing harvest season. Although this past harvest was a difficult one, we are optimistic for the 2022-23 harvest season. Nearly all of our trees showed no indication of any long-term damage from the freeze event. And with the aggressive planting strategy we undertook in the beginning of 2018, we expect to have more citrus trees producing fruit in the 2022-'23 harvest season. The USDA in its July 12 2022 citrus crop forecast for the '21-'22 harvest season indicated the overall Florida orange crop decreased from approximately 53 million boxes for the '20-'21 crop year to approximately 41 million boxes for the '21-'22 crop year, a decrease of approximately 22.7%. A portion of this decline was directly related to the freeze event. By comparison, the company experienced a decline in total box production for this current harvest season of only 12.9%. We believe this lower rate of decline as compared to the Rest of the Florida citrus industry is due to a company's comprehensive Growth Management Program, as well as certain precautionary measures we implemented during the freeze events in our growth. Since 2020, we have managed the citrus operations for a third-party grove owners properties in Collier and Hendry counties in exchange for a per acre management fee, after we were reimbursed for all caretaking costs incurred. During the third quarter 2022, this longtime grower decided to exit the citrus business. Alico has signed three agreements to lease approximately 2,100 of these citrus acres from this third-party grove owner and secure the rights to harvest the crop on these acres for a one-year term for approximately $200,000 with an option to extend longer if we choose to do so. These leases expand our citrus production acreage next season by around 6% to approximately 37,000 net citrus acres, which should also drive incremental box production for Alico in the 2022-'23 harvest season. As we continue to pursue opportunistic real estate sales, we have been selling parcels of our non-core ranch land at attractive prices. Our latest ranch land sales transactions this quarter totaled approximately 1,200 acres at an average price per acre of approximately $5,000 per acre. In recent weeks, certain ranch land sales transactions which were targeted to close before the end of fiscal 2022 have been pushed out and are now expected to close in early fiscal 2023. Interest from potential buyers remained steady. We will continue to own and operate what we believe to be the most productive and profitable citrus groves in Florida. Whenever prudent, we will also continue to acquire productive citrus land. As the company looks towards the future, we are broadening our mission. To produce superior long-term returns for shareholders, Alico will seek to increase earnings and asset values by integrating our successful agricultural operations with extensive entitlement activities that can accelerate real estate value appreciation. The company prepared its first land development program in 1948, with a goal of purposing our land for its most profitable use. Over the next few years, we will work with land use planning professionals to frame a strategy that optimizes the long-term potential values for our real assets. The timing and commitment to these initiatives is informed by the current dramatic pace of developments across Florida and the related changes in real estate values across the state. Alico wants to provide investors with the benefits and stability of conventional agricultural investments with the enhanced optionality that comes with active land management. Let's turn now to the detailed financial results for the quarter. Due to the seasonal nature of our business, the quarterly results for our third quarter are not indicative of our full-year results. The majority of our citrus crop is harvested in the second and third quarters of the fiscal year and the majority of our profit and cash flows are also recognized in the second and third quarters. Total operating revenue for the quarter ended June 30 2022 was $25.9 million compared to $34.9 million for the quarter ended June 30 2021. Our citrus revenue was $25.5 million and $34.3 million for the quarters ended June 30 2022 and '21 respectively. The decrease in revenue for the three months ended June 30 2022 compared to the three months ended June 30 2021 was primarily due to a decrease in the Valencia fruit harvested and to a lesser extent, a decrease in revenue generated from Grove management services. The decrease in the Valencia fruit harvested for the three months ended June 30 2022 was primarily driven by a decrease in process box production and a decrease in pound solids per box. The process box production for the three months ended June 30 2022 decreased by 19.9% as compared to the same period in the prior fiscal year, mainly due to greater fruit drop, which is attributable to disease and weather conditions including the freeze event, which occurred in late January 2022. As a result of this freeze event, our Valencia box production, which was anticipated to perform better than the early and mid season box production on a year-over-year comparable basis. According to the USDA 2021-2022 forecast published prior to the freeze event that was negatively impacted by the freeze event. While our Valencia crop was adversely impacted by the freeze event as mentioned earlier, or does not appear to be long-term measurable damage to nearly all of our citrus trees. The decrease in pound solids per box of 4% during the three months ended June 30 2022 as compared to the prior-years three months ended June 30 2021 was mainly due to the internal quality of the fruit not being as strong as it was in the previous year. In addition, we accelerated the harvesting of our Valencia crop in order to maximize the box production and avoid additional fruit drop as a result of the freeze event. The decrease in grove management services is due to a primary third-party grove owner for who we were provided caretaking services for deciding to exit the citrus business and therefore terminate their property management agreement with us. As a result of this action, all services relating to these caretaking management services began to decrease during the third quarter and ceased as of June 10, 2022 with the exception of the management fee, which was paid through June 30, 2022. Total operating expenses were $24.5 million and $26.2 million for the three months ended June 30, 2022 and June 30, 2021 respectively. The decrease in operating expenses for the three months ended June 30, 2022 as compared to the three months ended June 30, 2021 was primarily due to the reduction in caretaking management services expense. As previously mentioned, our primary third-party grove owner decided to exit the citrus business and exit the property management agreement with us during the third quarter ended June 30, 2022, resulting in a decrease of expenses. To a lesser extent, the company recognized a decrease in harvest and hauling expenses for the quarter ended June 30, 2022 when compared with the same period in the prior year, due to a smaller number of plenty of boxes being harvested as compared to the same period in the prior year. General and administrative expenses for the three months ended June 30, 2022 were approximately $2.6 million, compared to approximately $1.9 million for the three months ended June 30, 2021. The increase in legal expense was due to a decrease legal expenses in the nine months ended June 30, 2021 when compared to the nine months ended June 30, 2022, which was related to a reimbursement of approximately $700,000 from insurers for a corporate legal matter from 2018 that was received during the nine months ended June 30, 2021. Other income net for the three months ended June 30, 2022 and for June 30, 2021 was approximately $4.9 million and approximately $29.4 million respectively. The decrease in other income net is primarily due to us recognizing a significant gain on sales of real estate, property and equipment and assets held for sale of approximately $30.3 million for the three months ended June 30, 2021. When compared to the gains recognized on sales of real estate property, plant and equipment and assets held for sale of approximately $5.8 million for the three months ended June 30, 2022. For the fiscal quarter ended June 30, 2022 and June 30, 2021 we reported net income attributable to Alico common stockholders of approximately $2.7 million and approximately $27.1 million respectively. With respect to our fiscal guidance -- our financial guidance, we're revising our guidance for the fiscal year ended September 30, 2022 to reflect this past season's lower than anticipated internal quality of the Valencia fruit, primarily resulting from the freeze event. In addition, certain ranch land sale transactions, which were targeted to close before the end of fiscal year 2022 are now expected to close in fiscal year 2023. Our revised guidance calls for net income, which was previously projected to be between $35.6 million and $38.9 million to be in the range of $30.7 million and $33.3 million. Adjusted net loss after adjusting out certain of the expected non-recurring items to decrease from the previous production of $4.1 million and $2.3 million to be between $5.5 million and $4.1 million. EBITDA, which was previously projected to be between $59 million and $64.2 million to be in the range of $52.6 million $56.6 million. And adjusted EBITDA again, after adjusting out certain of the expected non-recurring items to decrease from the previous projection of $13 million and $16 million to be between $11 million and $13 million. Alico continues to demonstrate financial strength within its balance sheet. Our working capital was approximately $31.1 million at June 30, 2022 representing a 2.47 to 1.00 ratio. We continue to see improvement in our debt to equity ratio. At June 30, 2022 September 30, 2021, and September 30, 2020 the ratios were 0.4 to 1.00, 0.51 to 1.00, and 0.68 to 1.00 respectively. To wrap up, I want to close by saying that with the conclusion of this year's difficult harvest season, Alico is focused and ready for the next one. We believe that we've taken the appropriate steps, including our increased tree planting strategy since 2018. And leasing of approximately 2,100 acres a well maintained citrus groves to generate greater box production in the year ahead. We continue to maintain momentum of opportunistic ranch land sales, to produce superior long-term returns for shareholders, Alico will seek to increase earnings and asset values by integrating our successful agricultural operations with extensive entitlement activities that can accelerate real estate value appreciation. Alico wants to provide investors with the benefits and stability of conventional agricultural investment with the enhanced optionality that comes with active land management. And with that, we'll now open the line up to questions from industry analysts. Emma?
Operator: Thank you. Your question today come from the line of Gerry Sweeney with ROTH Capital. Your line is now open.
Gerry Sweeney: Hey, good afternoon, John. Thanks for taking my call.
John Kiernan: Hi, Gerry.
Gerry Sweeney: Wanted to started sort of top income statement? You have I think you mentioned the 2018 planting program. How many trees or acres do you think it's going to hit into maturity next year?
John Kiernan: 300,000, 400,000 potentially.
Gerry Sweeney: So these are acres?
John Kiernan: Are trees.
Gerry Sweeney: Trees. Okay. Okay. Got it. And then this is sort of related also, but the third-party caretaking the 2,100 acres? I know there's no average in ag, right. But do you know what sort of production box production that has done in the past?
John Kiernan: We haven't come in with that level of granularity.
Gerry Sweeney: Okay.
John Kiernan: We really haven't commented to you on any of kind of our individual growth. So we don't want to start yet. But it's attractive enough that we're deciding to lease it.
Gerry Sweeney: Got it. I mean, this is the track that mean $200,000 is there appears to be a very cheap price. So I would imagine there's some good opportunity there for at least for next year?
John Kiernan: We believe so.
Gerry Sweeney: Got it. And then just talking about contracts, obviously inflation's on the tip of everybody's tongue. Do you have any -- what are the status of contracts for off take agreements for the oranges and what our if any some inflation escalators embedded in the in the contracts?
John Kiernan: Sure. The other fruit is currently still under long-term contracts. And about 25% of it is going to be coming up for a new contract at the end of next season, which will obviously be renewing into a higher inflationary environment. The remaining 75% it goes out for a season after that. So two more years, and that actually has some inflation escalators built into pricing.
Gerry Sweeney: Got it. And how does that work with dealing with costs being. I assume, hopefully inflation moderate by that point, obviously. But with the higher costs, if embedded maybe in the future? How does that operate in terms of the contract? Is that just a negotiation process? Or just curious how you work that into the contract?
John Kiernan: Well, one of the contracts we have the one that's renewing next season is actually a cost plus that takes into account kind of all of our growth management costs. So inflation would be a direct impact to -- if we had a new contract under that structure.
Gerry Sweeney: Okay, and then CFO search?
John Kiernan: Has been ongoing since very early June. It's been illuminating and productive. We've met with several very qualified candidates and that search process is still ongoing. So hopefully, we'll have an announcement in the near future, but no decisions have been made at this point.
Gerry Sweeney: Got it. And that's it for me. So I appreciate you taking my call.
John Kiernan: Thank you, Gerry.
Operator: We have reached the end of today's question-and-answer session. I would like to turn the call back over to Mr. Kiernan for closing remarks.
John Kiernan: We look forward to speaking with you about our full-year results in December.
Operator: This conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.